Operator: Greetings, and welcome to the Orion Group Holdings, Inc. Third Quarter 2021 Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce Fran Okoniewski, Vice President of Investor Relations. Thank you. You may begin.
Francis Okoniewski: Good morning, everyone, and welcome to Orion Group Holdings Third Quarter 2021 Earnings Conference Call and Webcast. My name is Fran Okoniewski, Vice President of Investor Relations, and joining me today is Mark Stauffer, Orion Group Holdings President and Chief Executive Officer. Regarding the format of the call, we've allocated about 10 minutes for prepared remarks in which Mark will highlight our results and update our market outlook. We will then open the call for questions. Through the course of this conference call, we'll make projections and forward-looking statements regarding, among other things, our end markets, revenues, gross profits, gross margin, EBITDA, EBITDA margin, backlog, projects and negotiation and pending awards as well as our estimates and assumptions regarding our future growth, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainties, including those described in our 10-K that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of our future results. By providing this information, we undertake no obligation to update or revise any new projections or forward-looking statements, whether as a result of new developments or otherwise. Also, please note that adjusted net income, adjusted earnings per share, EBITDA and EBITDA margin are non-GAAP financial measures under the rules of the Securities and Exchange Commission, including Regulation G. Please refer to the reconciliations and definitions inclusive for the most comparable GAAP measures and reconciliation tables accompanying this earnings call within the press release issued yesterday. The press release can be found at our website at www.oriongroupholdingsinc.com. Also for additional discussion of risk factors that could cause actual results to differ materially from our current expectations, please refer to our quarterly and annual filings with the SEC, which are also available in the Investors section of our website. And with that, I'd like to turn the call over to Mark Stauffer, President and Chief Executive Officer. Mark?
Mark Stauffer: Thank you, and good morning, everyone. Thanks for joining us today. Please bear with me as I'm a bit under the weather. As previously announced, Robert will be departing us this week. I'll be covering the information he would normally cover on our call today, but I wanted to thank Robert for all his hard work, particularly over the last few years, and wish him all the best in his new endeavors. Today, we'll discuss our third quarter results, discuss our markets and our outlook. I'll begin with an overview of the quarter, then discuss our financial performance in more detail, and finally, discuss our market outlook before we turn to Q&A. As always, I'd like to begin by thanking our fellow team members for their hard work and dedication and to remind everyone that safety of our employees is a key priority. We want to ensure that our team members leave work the same way they came in, healthy and injury free. We remain deeply committed to our Target Zero program to support our vision of 0 incidents, 0 and 0 harm. On our last call, we noted that some of the performance that we were targeting for 2021 could shift into 2022. We saw this in the third quarter as revenue was well short of our targets. Revenue was impacted by phasing of work, project win rates and timing, tropical weather and COVID-19 related items. In the Marine segment, a large portion of our year-over-year decline in revenues was a result of project phasing. Last year's third quarter saw some full swing on a number of sizable projects, which have since completed. While in the current year, prior period win rates, projects pushing rightward and projects recently awarded that have yet to commence, resulted in a gap in project burn for the third quarter, resulting in a negative revenue variance. As noted in the latest project announcements, recently awarded projects will begin ramping up as we move through the fourth quarter and into 2022. We also discussed on our last call, our optimism regarding the activity level in our end markets, the robust pipeline of bid opportunities and our intention to remain disciplined in our approach to bidding work. Our disciplined approach was rewarded in the third quarter as we saw 45% growth sequentially in our backlog with an overall book-to-bill of 2.28x. In our Marine business, we saw a win rate of 53.4% on a book-to-bill of 4.83x. We remain optimistic about the trends and project opportunities across our end markets, in particular, those end markets that are emerging from pandemic related impacts. Our current level of quoted work is approximately $2 billion, which remains at elevated level sequentially, is almost double the level a year ago and is up almost 30% from the end of last year. The current level of bids outstanding and improved macroeconomic environment and a potential infrastructure bill gives us confidence that we will continue to see a robust project pipeline with good opportunities available to grow our backlog, positioning us for improved performance in 2022. Now I'll discuss our financial results for Q3 in more detail. Revenues for the third quarter 2021 were $139.9 million compared to $189.4 million in the third quarter of 2020, or a decrease of 26.1%. The decrease was due to the phasing of work, project win rates and timing, tropical weather and COVID-19 related items. Third quarter gross profit was $6.6 million compared to $22.5 million in the prior year period. The year-over-year decline is attributable to the items just mentioned, which also increased our indirect cost from unabsorbed labor and equipment. As a percentage of revenues, gross profit margin was 4.7% in the third quarter of 2021 compared to 11.9% in the prior year period. Turning to our segments. In the third quarter of 2021, our Marine segment had revenues of $54.7 million and an adjusted EBITDA of $0.5 million, equating to an adjusted EBITDA margin of 0.9%. The in the prior year period, we generated revenues of $112.9 million and adjusted EBITDA of $13.4 million with an adjusted EBITDA margin of 11.9%. Marine revenues and EBITDA declined due to the aforementioned items. However, as previously noted, we announced a number of project awards for our Marine business, providing backlog to support improving results. Our Concrete segment had third quarter revenues of $85.2 million compared to $76.6 million in the third quarter of 2020. Adjusted EBITDA for the Concrete segment was negative $1 million compared to $3.6 million in the prior year period. Our Concrete segment's third quarter results were impacted by tropical weather and COVID-19 related items, along with the cost overrun on the completion of one project. SG&A expenses for the first third quarter were $15.7 million or 11.2% of revenues compared to $15.3 million or 8.1% of revenues in the prior year period. The increase in SG&A dollars compared to the prior year was primarily related to ERP implementation, partially offset by a decrease in bonus expense. Net loss for the third quarter of 2021 was $10.2 million or $0.33 diluted loss per share. This includes a nonrecurring expense of $1.4 million for the implementation of a new ERP system. Adjusting for nonrecurring items and tax expense associated with the movement in certain valuation allowances, adjusted net loss was $8.4 million or $0.27 loss per share. Third quarter adjusted EBITDA was negative $500,000, representing an adjusted EBITDA margin of 0.3%. This compares to $17 million for an adjusted EBITDA margin of 9% in the prior year period. Turning to our bidding metrics. For the third quarter of 2021, we bid on approximately $1.3 billion worth of opportunities and were successful on $318 million. This resulted in a book-to-bill ratio of 2.28x and a win rate of 24.3% for the quarter. As of September 30, 2021, our backlog was $573 million, up from $394 million at June 30th and $429 million at the same time last year. $380 million of our backlog was associated with our Marine segment and $193 million was associated with our Concrete segment. Additionally, we are the apparent low bidder or have been awarded subsequent to the end of the quarter, $103 million worth of opportunities. Of this, approximately $47 million is related to the Marine segment, while $56 million is related to the Concrete segment. Moving to our balance sheet. As of September 30, 2021, we had approximately $900,000 of cash on hand and $29.3 million of availability under our revolving credit facility. We ended the quarter with $19.4 million of debt outstanding, all of which is related to our revolver, a leverage ratio of 1.34x and a fixed charge coverage ratio of 1.83x, both well within covenant requirements. Turning to our markets. As I noted earlier, we continue to see improvement in our end markets that were impacted by the COVID-19 pandemic and we see an upward trend in project lettings in these end markets. Winning new awards and replenishing our backlog remains a key focus, and our primary focus will be bidding on the most attractive projects that support our profitability goals. We will remain disciplined in our bidding approach. We continue to reach beyond our traditional project targets in geographic regions to secure quality backlog. As we recently announced during the quarter, we secured our first project for our Concrete business in the Florida market, and we are actively working to build on this success. We will continue to target select larger, longer duration projects, which provide us with greater operational visibility. The 2 recently announced large projects for our Marine business fit this profile, with both projects scheduled to complete in 2024. In our Marine segment, we continue to pursue opportunities in the public sector at the federal, state and local levels, including port expansion projects, DOT work involving bridges over water, Navy facilities and environmental and flood control projects. We are also pursuing project opportunities in the private sector, as evidenced by the recently announced awards for private sector DOT projects along the Gulf Coast. As stated before, the passage of an infrastructure bill would be an additional catalyst for our end markets. However, even without this pending bill, we expect to see continued project opportunities for infrastructure projects in our markets. Ports in the U.S. are expected to spend over $160 billion over the next 5 years, focused on capacity expansions and upgrades. Likewise, absence a Federal Infrastructure Bill, we still expect Congress to address long-term highway funding by alternative means. According to the American Society of Civil Engineers, over 46,000 bridges in the U.S. are considered structurally deficient, and 42% of all bridges are over 50 years old. In our Concrete business, we continue to see projects from a variety of end markets, such as tech, e-commerce and large retail moving forward. Demographic trends will continue to drive project opportunities in our markets. In Texas, we continue to see corporate relocations, such as a recently announced headquarter move to Austin. Similar demographic changes are opening up opportunities for us in the Florida market. To sum up, although our third quarter results were disappointing, we are heartened by the solid backlog we added during the quarter, along with the overall positive bid opportunities we see ahead. With that, I'll turn the call over to the operator for Q&A.
Operator: [Operator Instructions]. Our first questions come from the line of Marco Rodriguez with Stonegate Capital.
Marco Rodriguez: I was wondering if you might be able to quantify the impacts you saw from all the headwinds in the quarter.
Mark Stauffer: Yes, Marco, the vast majority of them were related to the project phasing, particularly in the Marine business. That was the biggest impact to the quarter. You saw the significant drop-off in revenue in that segment. That accounts for the vast -- we were probably 80% or so of the impact. We did have a hurricane and a couple of hurricanes, tropical weather along the Gulf Coast, which affected our Texas operations, and our operations in the New Orleans area. And we had COVID impacts, too, just like a lot of other people saw, we had a big spike in COVID cases, particularly in some of our PMT ranks with the Delta variant that kind of spiked up in the second quarter -- excuse me, the third quarter, particularly in August and September. We've now seen that drop off. And I think as of last week, we only have one open case in the company. So that's good news. But vast majority is just the phasing, just the gaps created by multitude of things, the timing of new awards, the runoff of prior work that we had been working on, the projects pushing rightward. And obviously, a lot of the work that we've recently won is -- will start starting up in the fourth quarter and into 2022. So again, kind of major headwinds. The major headwind in Q3 was around the phasing of work, particularly on the Marine side.
Marco Rodriguez: Got it. Very helpful. And can you give us a sort of a sense as far as what your utilization rates might have been in the Marine segment? And then in your prepared remarks, you indicated that there's obviously going to be an improvement in Q4, just kind of given all the backlog that you have. Can you maybe then also put a little bit finer point on what you kind of envision your utilization rates moving towards in Q4 and then into fiscal '22?
Mark Stauffer: Yes. I think -- we don't give specific on utilization rates, but just for competitive reasons, but suffice to say, because of the phasing issue I just talked about, utilization rates well below normal on the Marine side, which is where the bulk of our equipment is. And of course, that's a double-edged sword. So we didn't have the revenue to generate higher profits -- higher gross profits at the job level. And then, of course, we have higher rate of unabsorbed equipment and labor cost just due to the utilization.  So utilization, again, for the third quarter, well below where we would like to see it. We do expect that to start improving as we get into the fourth quarter and start getting some of the projects ramped up, particularly, we're expecting to see some of the dredging projects that we recently announced begin during the fourth quarter, so that will start -- we'll start to see improvement in the utilization of those assets. Other equipment, we're doing the front-end loading on kick-off for new projects to middle things like that. So maybe later in the quarter before we start seeing that, but that utilization uptick on some of that work. But as we get into 2022 and start getting into a full swing on all this recently announced work, then we would expect to get our utilization rates back up into the zone and where we like to see that. And one other thing that I would point out, we still have -- even with all that positive news on the trend for utilization, we still have capacity in our various markets to face new work. And of course, we're continuing to do that, continue to add backlog.
Marco Rodriguez: Understood. And then can you also give us a little bit of a sense as far as what does the margin profile look like for the new contract that you announced here recently?
Mark Stauffer: Well, we don't get into specifics on margins, but I will say this, we've set out what our targets are for our EBITDA margins for both segments. And we think these projects help us to get -- move -- start moving towards those goals. Again, a significant amount of uptick in utilization, which will be good for us. We got a lot of good, particularly on the Marine side, some good long-term kind of anchor projects, if you will, that will continue to provide a good base to build from as we go through '22 and into '23. And again, capacity levels to keep after the upcoming bid opportunities, and hopefully, securing a good quality backlog, which is what we're focused on. So I think the recently announced projects are consistent with driving us towards our overall targets for margins.
Marco Rodriguez: Got it. And last question for me. Just wondering if you can kind of update us on the pricing environment for the Concrete segment.
Mark Stauffer: You know it varies by type of project and geographic location. Some markets are a little more competitive than others, when I'm talking Houston, Dallas and Central Texas, it depends on the type of project. But we think that we've made good strides in that division in terms of where we want to be. Obviously, we didn't perform at the bottom line level in the division in the third quarter. A lot of that was due to some of the wet weather. The COVID impacts, as I talked about earlier, with PMTs being impacted there. And then we had one project that we were completing a structural project that we've completed, and we had cost overruns are, but it's a single project and we're completing that and have a few punch-less items on that. So I think in terms of the overall competitive landscape, it's a mixed bag, but we're focused on, again, like I said, finding those projects that help us have the most attractive prospects for achieving our targeted margins, and we think that works out there. There's a lot of good prospects for us in the pipeline. And as we've talked about, new awards for a low bidder since the beginning of the quarter, we continue to recognize new awards as we're moving forward here.
Marco Rodriguez: Got it. Appreciate your time. Thanks.
Operator: Our next questions come from the line of Julio Romero with Sidoti.
Julio Romero: Thanks for taking the questions.
Mark Stauffer: All right.
Julio Romero: So I wanted to follow-up on Marco's question. On the margins for the recently won projects. I think you mentioned that the margins are moving towards the segment target ranges, but would that indicate that maybe the bid margins are somewhat below the target ranges, but perhaps with some execution you can get to the target or...
Mark Stauffer: Well, I think it's a couple of different things. Not all projects are made the same. Some projects have more materials in them, some projects may have subcontracts to them. And that's why we don't necessarily get into specifics about margins on individual projects. What I would say is though, very big positive that we picked up the backlog that we did, we'll absorb a tremendous amount of labor and equipment and provide that kind of anchor base for that as we move forward, provides the visibility for that equipment and labor. And still, we still have capacity to pursue additional work. So obviously, our objective is always to be meet or beat our bid margins, but also keep a focus on all the project mix that we have, both what we have in hand today and what we're pursuing going forward to achieve our objectives, and we think these projects help us do that.
Julio Romero: Okay. And I guess just taking -- going back to the quarter, I don't know if you mentioned the number of unproductive days that you might have had, and if not, could you speak to that, either on the number of days or compared to the prior year quarter?
Mark Stauffer: Yes. I think it was a little bit -- it was up from the prior quarter. We didn't quantify it, but it was effectively a couple of weeks worth of impact from weather, and again, aggregated all that wasn't consistent throughout. But obviously, the tropical weather that hit Texas impacted both our segments for a few days, a good part of a week just to secure and recover from the wet weather. New Orleans, again, we kind of had 2 different tropical impacts over there, one a hurricane and one of remnants from the tropical weather in Texas. So again, a couple of weeks shutdown on that work. And so blended in across the board a couple of weeks' worth of impact there.
Julio Romero: Okay. Got it. And then last one for me is just on a quick update on ERP and when you expect to start seeing the results? Will the benefits from ERP, I guess, flow through the income statement?
Mark Stauffer: Sure. Well, as we've talked before, we're on schedule in our implementation. We're getting into the mean potatoes of that right now. And we're still targeting full implementation by midyear next year. As you may be aware, when you're doing an implementation like this, you have to run parallel for a little bit. There's a lot involved in terms of making sure that you don't turn off old system before you got new system up and cracking on all 8 cylinders, our considerations and things like that. But we are on target. And we think as we get this implemented midyear next year fully, we will start seeing incremental benefit from that each quarter we go forward on that. Again, we think this is going to be a really great opportunity for us to improve our businesses with the utilization of our new system.
Julio Romero: Okay. And best of luck in the fourth quarter.
Operator: Thank you. Our next questions come from the line of Alex Rygiel with B. Riley.
Alexander Rygiel: Mark, could you quantify the cost overruns associated with that Concrete project?
Mark Stauffer: Yes. It was a little over $1 million, and it had to do with concrete overruns and a lot of that -- the concrete overruns were due to a number of different factors. This is a first structural project, a large structural project we're doing in a new market, the Central Texas market. We had issues with labor turnover during the course of the project. We also had some rework on some of the upper floors that we had to do and round up having a little bit of an overrun on the quantity of materials due to the rework and some other things. And so that impact was recognized in the third quarter. The project is -- generally speaking, we're executing well in that division. And this project is completing. It was substantially complete at the end of the third quarter.
Alexander Rygiel: And then the project award in Daytona, which I guess is a new market. Can you talk a little bit about sort of your expectations for when this market might turn profitable?
Mark Stauffer: Well, we were hoping to make a little more progress this year, but this is a relatively small project for us, but we do have dedicated resources from our Concrete division located in the market. We are chasing a number of opportunities in that market. And we think that right now, we're leveraging the infrastructure, if you will, of our Marine business in that market. So we don't have a lot of cost in that market. And obviously, any work that we pick up, we're going to expect to be profitable work for us and so start contributing. Our expectation for this year kind of got pushed into next year, but we're targeting kind of an initial foray of about $25 million of revenue coming out of that market. That's our initial target. This gets us started on that. So we get a relatively small light commercial project, but we've got a number of opportunities that existing general contractors or customers that we have today in our Texas markets have been asking us to quote on work in that market. And so we've got a lot of potential opportunity up in front of us.
Alexander Rygiel: And you won a lot of work in the quarter, which is fantastic. But can you talk about sort of the burn rate of that work? Is it all work that's going to get burned off in 2022? Or is it going to stretch out a number of years?
Mark Stauffer: It's a combination, Alex. So a couple of the large projects that we won and announced the Florida DOT job that we announced and the 4 jobs that we announced. Those jobs are the ones I spoke to in my remarks that go on into -- they don't complete until 2024. So they're longer duration. Some of the other work that -- some of the dredging work that we just picked up and announced, of course, that will burn off in the first half -- the first half of 2022. And so it just kind of runs the gamut. Some of the other dock work that we picked up predominantly burns in 2022. So we got a mixed bag of more near-term burn, burn through 2022 and then the burn beyond 2022.
Operator: Thank you. [Operator Instructions]. Our next questions come from the line of Poe Fratt with Noble Capital Markets.
Charles Fratt: Just a follow-up on the backlog burn. Can you be a little more specific on what you think will burn off in the fourth quarter? And then also for the full year of 2022?
Mark Stauffer: Well, in the fourth quarter, again, we're ramping up on a lot of this. And by ramp-up means we -- is again, some of the dredging work may start, or will start during the quarter. Other work, some of the DOT projects and other projects, we're gearing up for it. We're doing our submittals during the normal stuff that you would do on a start-up project and getting set and prepared. We may have some mobilization that comes in, in the fourth quarter, but we probably won't start the big burn on some of that work until we get into 2022. So again, we do expect to see improvement in utilization in Q4. We expect to see improvement in our gross profit as we go through Q4, with this work starting up. As we get into next year, a good chunk of the stuff we have in backlog will burn in 2022. But some of the larger works, again, in particular, the FDOT job that we recently announced, the port job in Texas that we recently announced will burn, that burn continues on, as I said, into 2024. So we've got -- again, as normal, a big percentage of our backlog is going to burn in the next 12-month period, but we do have a percentage of it that will go on into beyond 2022. Again, nothing's changed in terms of our typical duration of projects, is kind of in that 6 -- or 3 to 9-month type range. And so most of our backlog, I would say, is kind of in that 3 to 9 to 12-month realm with a few projects, like the ones I just mentioned that go well beyond the next 12 months.
Charles Fratt: Got you. So will the fourth quarter look more like the second quarter or more like this past quarter?
Mark Stauffer: Well, I think probably somewhere in between. I don't think it's going to look like this past quarter. Obviously, our focus is try to perform better, obviously, from where we were in Q3. We do think we'll have increased utilization again as these projects start out. We don't think it's going to look like the third quarter, but we keep -- we're grinding away. Our objective is to have positive EBITDA and move towards improvement on the bottom line as well. So I think somewhere in between that is probably realistic at this point from where we see the start-up of this work in Q4.
Charles Fratt: And then I didn't -- maybe I missed it, but when you were talking about just the shortfall relative to -- you said 80% of the shortfall, what was phasing the gap in project timing, were 80% of what number? Should we be looking at last year's EBITDA in the third quarter to sort of look at the shortfall? Or would it be relative to the second quarter, Mark?
Mark Stauffer: Well, it'd be somewhere between, because obviously, in the release, we're comparing back to the prior year period and not to say that, that prior year was our target for the third quarter of this year. But even if you look at what kind of the -- closer to where our target would have been for the quarter, which was probably a little bit less than -- not probably, it was a little bit less than where we were last year because obviously, last year, as we mentioned in the remarks, we had a couple of large projects that burned a lot of work. We continue to have some of that work, as an example, the T 5 project up in Seattle, we burned a lot more on that project in Q3 of last year than we did in Q3 of this year. So there's a number of different things. But basically, the shortfall of the comparison from last year is what I was speaking to about, the biggest amount of that shortfall was driven by project phasing.
Charles Fratt: Got you. And it just seems like the last two quarters have been pretty ugly just because of non-forecasted events, whether it's weather phasing, I guess, maybe phasing you could have seen, but -- and COVID, is what percentage of your workforce is vaccinated right now? Do you have that handle on that number?
Mark Stauffer: We do have a handle on that number. I really don't want to give that out publicly, but we do have -- we are making a lot of progress in getting people vaccinated. And obviously, we're addressing the potential for these mandates that are in the works right now. We will be fully compliant with any mandates that come down. We're making progress on that. But as I said, we're not unlike a lot of other people that you've seen or you've seen in the numbers out there. We saw in the second quarter our COVID cases dropped dramatically from where they had been tracking late last year and into the first quarter this year as the vaccine started taking hold and things like that or other forms of immunity. Our case load dropped off almost nothing by the end of the second quarter. But then third quarter, the Delta variant, we did see a significant spike up in our cases and which, as I said earlier, we've seen that drop off as we got through the third quarter into the fourth quarter, and we're back to a very low case load. And we're making progress on the vaccination front with getting a good chunk of our workforce vaccinated.
Charles Fratt: And when you look out, you've list a host of issues that you had in this quarter and potentially some linger into the fourth quarter. But looking at 2022, can you take a stab at what '22 is going to look like relative to some of the previous years? Is it -- hopefully, it's not going to be anywhere close to '21. I mean, it's just turned out to be a horrible year. But is it going to be closer to 2019 from that standpoint? I mean, to get to 2020 from a standpoint of either earnings or EBITDA seems heroic, but can you get back to where you were in 2019, Mark?
Mark Stauffer: Well, I think what I would say, again, we kind of talked about this in the remarks, there is a lot of the progress we hope to make in '21. Looks like it's pushing into '22. Again, in a lot of respects, this has been our COVID year from the standpoint. I've said that before, with just the impacts to the markets and things like that and the substantial level of backlog that we had going into the pandemic, which benefited us in 2020. And then we were disappointed in the whole economy restart in '21 and the lingering impacts in our markets from the COVID pandemic. That being said, I do think we're getting through that. We've obviously got some challenges out there from the macro standpoint. But we do see a good pipeline of work up there. We've got good backlog. We've got an elevated level of work quoted and outstanding. We continue to win work. So our expectation is that we see improvement over '21, for sure, and focused on getting back towards what our expectations were for '21 and that's where our focus is right now.
Charles Fratt: Great. And then my understanding is there's another bridge project in Florida that's out for bid in December. Could you have the -- do you have enough capacity to do 2 bridge projects simultaneously? Or is that something that you're going to be looking more at other projects that you're comfortable with where your backlog is on the Marine side, now you want to focus more on building up the Concrete side?
Mark Stauffer: Well, of course, the resources in each division are largely independent of each other. So one wouldn't have an impact on the other. That said, we do have capacity, as I said earlier, to chase additional work which we are doing. Whether or not -- we do have capacity for the project you're referencing, whether we go after that project to go after alternative work that we're pursuing is to be determined. But I think the takeaway is that we have capacity to keep bidding and winning work. And of course, as I said earlier several times in my remarks, we will be disciplined in our approach. We want to select and go after the projects that we think have the best opportunity for us to achieve our objectives. And so we'll factor all that into which projects we bid on and how we bid on those projects, what our bid rate is and how we view our competitive capability or competitive standing on the various opportunities that we see in front of us.
Charles Fratt: Yes, more of the public-private mix. When you look at -- it seems like distant memory, but closing Tampa, the sale of Tampa was a really positive event. You have other asset sales potentially out there like East West Jones. Can you talk about the timing of potential additional asset sales? And then more importantly, what are you going to do with the money? Your stock is down right now around $4.30. What's your thinking on buybacks at this point in time?
Mark Stauffer: Well, on the buyback front, obviously, that's always a consideration for us, particularly as you say, where the stock is. Again, in the near term, we do have a lot of work that we just picked up. So we want to be cognizant of the working capital needs to get started on the volume of work that we just picked up. Of course, we're still working on our ERP implementation, which we just talked about. And then as a reminder, we are in the process of rebuilding a dredge to replace capacity in our dredge fleet. So those are all things that are ongoing right now that are near term prospects. With respect to the timing of asset sales, our property in Port Lavaca is -- could be any time, it could be this quarter, it could be next quarter, we'll have to see on that. I mean, we're making progress there and getting to a close date, but don't have one set yet. On East and West Jones, we do have that property under contract now. But obviously, there's a lot to do between now and closing. So it's possible we could see that close in the first half of next year, but too soon to tell at this point.
Charles Fratt: Would you -- and I apologize for some of the questions, but that's interesting that you're under contract with East West Jones. It would seem like there wouldn't be the same zoning issues that you had in Tampa so that hopefully the zoning initiatives wouldn't be an issue. But can you quantify potentially -- I mean, we were thinking, I think, at $1.40 million to $1.45 million, is that in the ballpark for that asset sale?
Mark Stauffer: It's less than that. It's kind of in the mid-30s range. We had it listed at a higher price, but we think the offer that we received is a good offer. And so we're focused on trying to get that close. Different issues, of course, as you mentioned, than we had in Tampa. But we'll see how we get through the diligence period with this buyer, and we're focused on getting that deal closed as quickly as we can. But again, too soon to tell, it's possible that it would close by mid next year.
Charles Fratt: Great. That's great news. And then just one last one, if you wouldn't mind, with capital spending, you're talking about rebuilding asset. Can you talk about capital spending in the fourth quarter and then for 2022? It seems like it's lagged a little bit through the first 9 months of 2021. So that would be helpful.
Mark Stauffer: Yes. And again, we sort of start with a base of about $20 million as a target. We obviously manage that as needed. And again, just given the results in the third quarter, as an example, we're mindful of being prudent about the timing of CapEx spend. We would expect a little bit more in the realm of CapEx. But we -- in the fourth quarter, we should be below the $20 million mark, I think we talked about earlier in the year. So I think -- and again, this is preliminary, subject to further discussion as we talk in the future on 2022. But again, that $20 million level is a good starting point to think about for right now, and then we'll update that as we move forward.
Operator: Our next questions come from the line of Tristan Bar.
Tristan Richardson: I'm just a little surprised at the overall tone of this call. And I mean, obviously, the third quarter wasn't, I think, what anybody was looking for or would have liked. And fourth quarter is still a little on the weak side. But this has all the hallmarks of a trough quarter. And you're -- given the contract awards that you've announced, given the fact that there's this increased focus on infrastructure, whether we get a federal bill or not, again, is beyond my pay grade. But certainly, there's an increased attention to the area. You have $40 million worth of properties for sale. Even if you forget your target margins, I mean, if you kind of even approach historical margins, I mean, this company is incredibly cheap. So a lot of the issues that you've outlined for the third and fourth quarter, are priced into the stock at $4.25. I think you guys missed a major window by not providing kind of a wide range of guidance for 2022, at which point, I think this company looks a lot different to investors. And I wish you would have taken the opportunity to realize that this is the time of the year where most investors are looking towards 2022 and what companies are looking to do and where the values lie, because again, at $4.25 based off of what should be reasonable expectations for 2022, I think you guys are tremendously undervalued.
Mark Stauffer: Well, appreciate the feedback and the commentary. And again, as I was talking with Poe earlier on the last questions is, again, our focus is to -- we talked about what we were looking for in 2021, shifting into 2022. That's what our objectives are for working back towards. And so I think, again, we're expecting the improvements that you just mentioned as we get into 2022, and we will be working towards that and then made a big effort with that in the backlog that we've acquired in this third quarter. And as we go forward into fourth, picking up additional work and improving or building on the backlog.
Tristan Richardson: For those that are new to the story or newer to the story, I think it would help if you remind people what you were looking for 2021.
Mark Stauffer: For '21, we were looking for EBITDA in the low to mid-40s range. And again, that's the commentary around the expectations for 2021 shifting into '22. We've still got more work to pick up in order to achieve that, but that's what our focus is on.
Tristan Richardson: So taking a step back, though, again, I think that should be explicit and not necessarily kind of dancing around it, I mean, if you say, hey, these are expectations, and we still need to work towards them, but this is what we think is achievable if we execute on our plans. Again, taking that number and looking at where you currently stand, particularly if you now have the other property under contract, the stock looks incredibly cheap. And I think, while I don't think you guys should have glossed over the issues, I mean, clearly, you had some operational issues and some weather issues in Q3, and clearly, some of those are going to persist into Q4. Again, I think there should be some aspect of giving investors reason for hope because if you guys even approach $40 million and this company is incredibly cheap looking at 2022. That's just my opinion.
Mark Stauffer: Well, no. And I agree with you. And again, as we -- I'll reiterate what I said earlier. I mean, again, we think the big takeaway from the quarter is the -- like you said, we do think it's a trough. We think we'll see improvement from here as we get into the fourth quarter. As we get into 2022, we've got a significant backlog uptick and capacity for more backlog. So that's what we're driving towards.
Tristan Richardson: Appreciate it.
Mark Stauffer: Thank you.
Operator: Thank you. There are no further questions at this time. I would like to turn the call back over to management for any closing remarks.
Mark Stauffer: Okay. Thank you, Darryl, and thank you, everyone, for joining our third quarter earnings conference call. We look forward to talking with you again in February for our year-end and Q4 results. Thank you, and have a great day.
Operator: Thank you for your participation. This does conclude today's teleconference. You may disconnect your lines at this time. Have a great day.